Operator: Good afternoon. My name is Dia, and I will be the conference operator today. At this time I would like to welcome everyone to the Las Vegas Sands Corp. First Quarter 2013 Earnings Conference Call. (Operator Instructions) Thank you. I'll now turn the conference over to Mr. Daniel Briggs, Vice President of Investor Relations. Sir, you may begin.
Daniel Briggs: Thank you. Before I turn the call over to Mr. Adelson, let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor provisions of Federal Securities laws. The company's actual results could differ materially from the anticipated results in these forward-looking statements. Please see today's press release under the caption forward-looking statements for a discussion of risks that may affect our results. In addition, we may discuss adjusted net income, adjusted diluted earnings per share, adjusted property EBITDA and hold adjusted property EBITDA, hold adjusted, adjusted diluted earnings per share which are non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures are included in the release. Please note that this presentation is being recorded. We also want to inform you that we have posted supplementary earnings materials on our Investor Relations website for your use. With that, let me please introduce our Chairman, Mr. Sheldon G. Adelson.
Sheldon Adelson: Thanks, Dan. Good afternoon, everyone, and thank you for joining us today. (Inaudible) on your questions in a few minutes, we are obviously pleased with the all-time record quarterly financial results. Those results reflect strong revenue and cash flow growth and as I mentioned in our previous calls, the continued execution of our four strategic objectives to maximize shareholder value. I would like to provide a progress report on those objectives now. One, maximize organic growth from our property portfolio. Two, additional growth by making new investments in our current markets to enhance growth. Two, identify new IR development opportunities in geographic areas outside of our current markets, and four, this is a good one. Increase the return on capital to shareholders. First, organic growth. I will highlight our all-time record performance in Macao where industry leading investments and unrivaled scale of our properties have again enabled us to deliver growth -- market leading growth in the world’s largest and world’s profitability gaming market. Our mass table win in Macao for the quarter was up about 63.2% to record $863 million. A nine digit of capital investments in Macao were targeted to and designed to serve the mass table from the very beginning and have allowed us to live Macao market at EBITDA generation since we entered the market way back in 2004. Our market leading hotel, retail, convention, group meeting and entertainment office will allow us to continue to lead the Macao market in both revenues of mass gaming and an EBITDA generation for the foreseeable future. Also there is a rolling growth in Macao which was up 24.9% this quarter to record $41 billion. That represents VIP market share of approximately 17.4%, the Macao market growing projects, compared to just 12.6% one year ago. That’s a 38% increase of growing project. Sands Cotai Central continues its steady ramp with both domestic slot businesses reflecting meaningful growth this quarter. We welcome a record $14 million business to our Macao properties in the quarter. If you annualize that, that means we are bringing in almost two visits for every official visit to Macao. So we get approximately 60 minute. If we get 60 minute visits in our properties, that means that we’re getting two visits each for each assuming 28 to 30 visitors to Macao. So each Macao visit is we’re experiencing two visits. A fully enclosed pedestrian walkway with escalators and moving sidewalks has successfully interconnected our two Cotai properties enabling customers to move constantly moving between our properties and allowing them to enjoy the full array of amenities on properties throughout our entire property portfolio. That means you can go between almost 9000 rooms without (inaudible). It’s probably the only pedestrian bridge we are building sidewalls and air conditioned anyway. Interconnection of our properties contributing to enhanced financial performance today and as the hotel (inaudible) Sands Cotai Central because more productive and our Cotai Strip offerings continue to evolve. That interconnectivity should contribute meaningfully to our financial performance. Now we are turning to base in Singapore, organic growth was again on display in our results, the record $18.2 billion in (inaudible) was up over 42% compared to last year and was the highest quarterly volume in the history of the Singapore market. If we helped 2.85% against that rolling items, we would have produced the EBITDA of $451 million this year at Marina Bay Sands. That is the strongest total financial performance in the history of the company. Again the growth was also displayed in our mass table room which was up 7% as visitors to Singapore continue to expand. Growth was also on display in our hotel revenues which were up 10% and our retail revenues which expanded 7%. Let’s turn to strategic objective number two. Venetian Macao, (inaudible) Cotai Strip and our fifth in Macao overall is finally under construction. Construction is underway with add another interconnected integrated resort properties to our portfolio of the Cotai Strip. The highland construction is now underway and the podium and hotelco. Based on our construction schedule and subject to timely government approvals we’re still targeting the opening of the Venetian for late 2015. We’ve also submitted plans to the Macao government for the development of the 2 million square foot (inaudible) retail bar, just south of Sands Cotai Central and the east side of the Cotai Strip. Moreover feature over 900,000 square feet of value oriented destination shopping event. As is specifically in the mass market, we commend the Macao (inaudible) carries the growth in the mass market and (inaudible) is the development of mass market targeted on gaming and primarily such as the proposed tropical dot retail. Moving on to strategic objectives in our portfolio, (inaudible) integrated resorts of new markets and geographic areas. As you all know we are committed to identify new development opportunities (inaudible) and we are -- in that region. We have also made investigating office in the other parts. As we have previously discussed, in December of last year the government of the region passed legislation that outlined the regulatory framework to enable it to (inaudible). There are a variety of spec plus on development persons which continues to move them. Any investment would be (inaudible) receive government approvals and the finalization of the grants and incentive package that would enable investment as well as success in competitive enterprises. And this company largest shareholder. Our interests are aligned with yours. I have a vested interest that pursuing only the highest value projects that will maximize shareholder returns. Now to strategic objective number four, the return of capital to shareholders. We have now returned $4 billion of cash to our shareholders through dividends over the last five quarters, including nearly $3.4 billion to Las Vegas Sands shareholders and nearly $600 million to the non-LVS shareholders of Sands China. It is gratifying that we’ve now built our businesses and expanded their cash flows to the degree that we are able to return substantial funds to shareholders. We are retaining both a strong balance sheet and sufficient liquidity to fund future growth assets. We have very intention to increasing the return of dividend at both, Las Vegas Sands and Sands China in the quarters ahead and where business and cash flows continue to consistently grow. We will also consider -- seriously consider other avenues to return capital to shareholders in the future, including special dividends and the implementation of a stock repurchase program. Before moving to your questions, I want to highlight that our retail mall business in Asia continues to grow. We expect that growth to continue this year and to accelerate in the future, as we re-merchandised the mall in both Macau and Sands Bethlehem. Eventual sale of monetization of those assets will provide enhanced financial flexibility, including the potential to increase the return of capital to shareholders in the future. With our outstanding strategic position, we had strong operating momentum and the discipline of experienced leadership team we have in place to execute our strategy. I couldn’t be more optimistic about the future. Again, return of capital. With that, let me turn the call over to Mike to begin the Q&A session
Mike Leven: Thank you, Sheldon. Good afternoon, everybody. Operator, may we please have the first question?
Daniel Briggs: While the operator calls for questions, let me just ask everyone to keep your questions to one question and one follow-up to allow everybody to have an opportunity to participate. Thanks.
Operator: The first question will come from Joe Greff with J.P. Morgan.
Joe Greff - J.P. Morgan: Good afternoon, everybody. Question for all of you, maybe specifically for Rob. Singapore mass table and flat lines today showed a nice sequential on year-on-year uptick. I know you have been talking about getting the mass position correctly. Can you talk about what the drivers were for that performance and whether it’s the new hires that you’ve put in that market, whether you would be marketing differently with the help of the overall market? What specifically are you doing and how sustainable is that?
Robert Goldstein: Yeah, Joe. As you know, Singapore basically had it. It measures up for the first quarter of the previous year. We are back to a run rate of 4.6. The answer is two fold. On the slot segment, we continue to show weakness and that’s because slots were primarily driven by local market, which is not recovery. On the table side, we are growing again and that’s because the programs in place, both to accelerate new customers for building and also reactivate interesting database. So we are seeing a tale of two stores there. I think -- so we continue to see table growth. We are hoping to see more growth in the slot side as well, but they were back in a positive place in Singapore. And those important segments would be non-rolling and slot and ETG segment. And we are seeing some results to come out of the database reacting bigger -- reactivation of the database. They were seeing new customers as well. So we are happy to see it. We hope it continues and the team is adding people by the day. There should be 20 hires by the end of the year and I think we will see real growth in our segment in the quarters ahead.
Joe Greff - J.P. Morgan: Excellent. And then as my follow-up. Sheldon, would love to get your thoughts and recent views on some of the goings-on in Japan with respect to IR legislation, how real does it feel now versus some of the fits and starts that we have seen in the past?
Sheldon Adelson: Not sure, if you want to add some data for us.
Robert Goldstein: Thank you, Sheldon. There is a lot noise about Japan about 100 people in the legislature wanting to get legislation as early as November. The most recent conversations we’ve had, was that it looks like when it might appear. As of this morning there was another article that said that if the legislation passed it’s a one to two year process to get it ready to go in terms of selection of those particular companies in the news has been really us getting as two of the leaders in terms of looking at that marketplace. We hope it could move faster but essentially Japan, it’s a little more active than it has been because of the November situation although there is some talk -- there was some talk from Osaka about the possibility of moving that legislation up to summer. But that’s the knowledge today from the group is November looks like the time for the first legislation.
Operator: The next question will come from Thomas Allen with Morgan Stanley.
Thomas Allen - Morgan Stanley: On Sands Cotai Central, you can generally ramp up property as I think saying that you couldn’t do (inaudible) Venetian and just on the margins, I guess they are a little lighter than we had expected. Can you talk about how they should ramp?
Rob Goldstein: I think to answer your question, I think it’s -- the Venetian obviously I think is performing the market, it’s ramping to 1.5 billion and I think that’s a little bit ambitious for SEC today’s current situation. However it does have -- it’s a different product -- you don’t have the teaming, there is teaming, nor the retail component, which I think is a primary drivers of foot traffic in Venetian, so record opening the market, how important -- Venetian gets disproportionate share of patient for the teaming traffic and retail and food offerings. Having said that obviously the biggest advantage that Cotai Central has is the room product and the diversity and size of rooms. So I believe it will ramp it. Two things have to happen, at Cotai, the Venetian comes from primarily mass tables and all three segments both these super three mass and pretty mass, mass tables that Sands Cotai has not gotten the kind of number that we do at the Venetian. They will ramp as the rooms filled, as you get more promotional and aggressive on that but clearly there is mass of opportunity prone to a number of -- it’s respectable but it could be a lot higher one unit per day. The junket segment is the highest performing on our portfolio and (inaudible) get close to the Venetian numbers, it gets better and it gets smaller per quarter. The whole key of the Sands Cotai as I said the story is going to be still in the rooms, taking advantage of that 6000 key opportunities, the cross-over etc. At every comp is that SEC is a billion dollar EBITDA property in future. I don’t know they have reached the kind of numbers that Venetian is going to get to because they should keep growing, it looks to me it would grow a billion, 1.4 billion, 1.5 billion, 1.6 billion, it’s a phenomenal property and it sits on all cylinders. So SEC I do think is a $1 billion property and the primary driver will be that mass table segment. If we get that payment to 11,000, 12,000 Venetian does, will be $1 billion, and that’s the answer, I am not sure.
Sheldon Adelson: It’s Sheldon, on the (inaudible) but I can see head of the business. We are building and spending a few bucks on local store, what was formerly expected to be a theater, I think there is a lot of 40,000 square foot footprint and it was going to enlarge, we put the premium as dramatically since we originally branded property, Central does -- because that was the one we stopped and if you remember, in the middle of the -- or advent of the financial crisis, and that we decided not to (inaudible). So there was some premium mass market identified with such (inaudible) categories. Before we get less of cash, that is we are tools. However we are putting it on another similar 80 similar tables, pushing a 100% tables with taken (inaudible), we are not -- they are putting their under performing tables you got to use and increase revenue. So we are going to put -- as poll expanded this year, we got CapEx equivalent and that is going take about 10 months or so, maybe a little more, 10 and 12 months, and we really I think have stay...
Thomas Allen - Morgan Stanley: Correct. Yeah
Sheldon Adelson: So we’ve got about 10, 11 months here to go. And the delay in that is that we never put in, because we didn’t know when we are going to put in, we never put in pilings underneath that space. So we got to get the piling machine that we are already building and then put them to work and the excavation in piling machine, so that will take an extra period. So there is a lot of potential upside, filling up the rooms, getting more mass market, creating the capacity and putting the tables to recognize. I don’t know it will get to, where the Venetian is but as, he said the Venetian is in unique property, but I think it get to where the Venetian was before.
Thomas Allen - Morgan Stanley: I agree.
Sheldon Adelson: And who knows what will happen over the long-term.
Rob Goldstein: Sheldon comment is great, because it reflect the, we want to be in the great, of course, it is.
Sheldon Adelson: Okay.
Rob Goldstein: Right. It’s an obvious.
Sheldon Adelson: That’s why you get the big bucks.
Rob Goldstein: So I think you should know the opportunities in the segment you reference the super premium and premium but also in the mass, mass will makes us unique at our company, is that, other people don’t have that capacity to grow, a mass, mass tables of Venetian are just extraordinary performers and we can get there, SEC is doing some very good things to have that property.
Thomas Allen - Morgan Stanley: Okay. Then just a quick follow up on the mass and premium mass in Macao, one of your competitor talked about how on the mass side they were seeing more customers purchasing chips at the cage instead of at the table, are you seeing something similar, I noticed high hold at the Venetian in the first quarter, was that kind of driving that? Thanks.
Rob Goldstein: Well, interesting question you raise because I heard the call on, I think the answer is simple, the cage drop is phenomenon we are experiencing in Macao, in most jurisdiction our cage drop, it’s about 25% of our drop and we certainly can give this numbers as well as the party entire drop program. We hold about 25% to 26% since we opened SCL, about 23%, 24% mass play at MBS. Case drop component we are clear about that that mostly impact the super premium and premium mass because you can’t buy renminbi back to the table, you can’t cash in renminbi at the table. It’s again foreign restriction. You have to buy the cage and that’s why that phenomenon happens. Also you can’t process the money easily to the small denomination so its cage function logistically works better that way. Having said that, we are very confident that across the entire portfolio we handle about probably this year about $14 billion, $15 billion consolidated, we hold about 25%, 26% of that. So we know the whole percentage. We know, where the customers buy the chips be it cage or tables on two sources. What we can’t take existing about is the customers move money between property or a segment. While Steve was referencing the difficulties knowing which segment they are losing and that affects that whole percent. But in the aggregate we do not know what that and it’s not confusion for us or anybody else in the marketplace. So the nice thing is as we keep growing drop we are getting to a point where can hold 25%, 26%, 27%, again it appears to be growing to business we can see us getting $4 billion of topline of this next year. So it’s a phenomenon because of the foreign exchange situation and the size of those.
Sheldon Adelson: And we are going to, our intent to continue ramping up in all property because they are going to wake up from sleeping and we're going to crack the whip on them.
Rob Goldstein: Right. Right. Good idea. Who is next? Did that answers your question
Thomas Allen - Morgan Stanley: Yeah. That was great. Thank you.
Rob Goldstein: Thank you.
Operator: The next question will come from Shaun Kelley.
Shaun Kelley - Banc of America Securities: Hey. Good afternoon, guys. I guess my first question would be maybe a little bit around the three [region] I think, in the prepared remarks, Sheldon mentioned that, you are still targeting late 2015 opening, but I noticed on the CapEx schedule you actually brought down your target CapEx for this year. So could you just give us an update on if you broken ground, are you driving piles on the property kind of where that, I guess where the status of that project fits right now?
Sheldon Adelson: Well, I had a conversation with Mike Leven, Head of Development, yesterday, continues to be more and more impressive as time goes on. And Ed Cooper, who is a descendent of Cooper friend and Hollis, he says he's related to that. We said yesterday that the final challenge than we are at May 1, in June we are going to start the piling caps which is really think of it as the foundation, it’s like a mass foundation like we did this Venetian and we did the mass foundation in Vegas. And that’s -- think of it as the foundation -- we are not doing it on a gradual basis from one end to the other. And as soon as we finish in enough time lengths, we are putting (Inaudible) on it. As soon as we finish the bio-caps, we are going to start the structure. So it’s -- that was quite a bit of surprise to me, yesterday. And the two different types of power cap, there is forth concrete, we put a lot of concrete in it and then there is driven piles. There is no stone in the cast. So they are moving along on the tiles. And the date to open is 15th, I am cracking the list, trying to get the middle of 15. So we are not looking at always every way, (inaudible) always a shorter period, always shorter period. Every month we don’t know but it’s the fruits of investment, we are losing, we could lose 15 million a month to start upward. So if we spend an extra 15 minutes you will accelerate the project, how many more months that we open faster, we get a big return out of those.
Shaun Kelley - Banc of America Securities: And then I guess my follow up would be I guess also in the prepared remarks you talked a little bit about return on capital. So I guess the question that kind of comes to mind we get it from a lot of investors, I think once you see your competitors peers out the apple and it couldn’t happen those, $17 billion bond offering to help us capital to shareholders. So how do you guys think about target leverage and would be willing to put a timeline around next steps on the return on the capital initiatives. But I am not prepared to show, it turns out the guys are adapt to cater but the early selective just closer. I can’t be honest that because I think this was not selected this quarter and so we are very actively considering it. It is on the table, we had lately discussed in the board meeting about it. We have a very positive attitude of doing this. It’s not -- we are not the -- but we are in that final stretch.
Rob Goldstein: I am not sure but we can talk to our capital markets guys --
Sheldon Adelson: I think we are at the point where we are discovering should we have a fixed amount for 10 years or should we have a flooding amount and buy off 50% of what we fixed the rates. So if we are at that point, we are getting close to it.
Operator: The next question will come from Jon Oh with CLSA.
Jon Oh - CLSA: I will start off with in Macao, could you give us some anecdotal updates on the visitation and spending trends from your customers, especially in the high end level, especially post the political position in China in March, what have we seen and what are you expecting in this golden week in May?
Rob Goldstein: I think Jon, one of the things we -- all the noise from the government seemed to be impacting what’s happening to what you see that in the first quarter. And I think what’s happened is the numbers from Macao come out I guess every week or so. We haven’t seen any impact whatsoever on any of the noise about the government. I think visitation is public, the amount of money that each person is spending seems to be more. The rooms have helped us. I think the Cotai Strip has helped everybody. So there has been no negative impact that we’ve seen so far this year. And I don’t see what the government has been saying that has really impacted us. Rob, may have other details on that but we have a big spread of market in all of our properties from the low limits to the high limits. And they all seem to be getting their appropriate share of the marketplace.
Rob Goldstein: John, it’s Rob. I think the number speak themselves in terms of the VIP demand or lack of demand in the marketplace. You can see that for yourself. I think our strength resides in mass and slot and ETG market. And I think those segments are growing very crazy and that couple of infrastructures are very, very strong story for us. So as we have 1000 tables opened and 5000 slot and ETG, and as I think our growth is tied for sure to be mass demand and our mass demand is staggering. As for VIP, time will tell. And we’re waiting to see how it plays out. But our opportunity, I think is in the mass and slot and ETG market short term. And we’ll ride, wave and see how the -- what the government, how that works out. But we’re very, very pleased with our growth. And it’s an important segment for us in profitability.
Jon Oh - CLSA: Great. That’s helpful. And if I can just ask for a follow-up on Singapore, you’ve seen two sequential quarters now where Rolling Chip, I believe is above $16 billion. But I can’t help in noticing also that it’s been four quarters in a row where you’ve been holding light at Singapore. Could you give us some sense of what’s actually going on in the VIP space? Are we going to be experiencing less volatility in Rolling Chip? And should we at some point expect some normalization of whole -- I know, it’s very difficult question but four quarters in a row, what’s actually happening in there?
Mike Leven: Customers keep winning and so a deep analysis. Very candidly, it’s frustrating for us because these volumes are terrific. It’s a mathematic-driven model, isn’t it? And in the end, we let people bet $1 million a hand. Sometimes they get lucky, sometimes we get lucky but it’s been disappointing because you normalize it and we fully believe will normalize. Our team has looked at it every which way you can over there. And one of these quarters, in fact, one of these years will hold 3-2-3-3. We have absolutely no concern about that whatsoever. We’ve been through this before. Last year in Las Vegas we held -- abysmally going to change these. People say oh my God, the Chinese people are winning and there is some capital gains than we held something like 45% next quarter. So we’re very pleased with our growth in Singapore. Again, it’s a very cash-driven market. One quarter shouldn’t be a predictor of the next quarter but we’re very happy with getting $18.2 billion, our best quarter ever. So I’m very pleased on that. And we’re also complete believer in the mathematical indications on the game. So no trepidation concern whatsoever. It will normalize and be what should be by the end of the year.
Sheldon Adelson: I don’t know, John. It’s Sheldon. I don’t know whether or not, our overall strategic approach to the Singapore market has an effect on it. Maybe you could figure it out. We think bets up to a billion Singapore dollars.
Mike Leven: We’re crazy just like that.
Sheldon Adelson: A billion.
Mike Leven: No, a million.
Sheldon Adelson: Guys who have change of a billion will pick that too. We -- that's what I said everybody when I get solicitation calls for charities. I say have you got a change of a billion. If you do, contribute. The point is I don’t know since nobody has ever done this before. Nobody has ever figured out the mathematics. If we think a billion -- a million dollar bet, a lot of million bets, now certainly not everybody does it and not every better will bet a million in every end. But it may have a direct impact on the percentage. Nobody has figured that out yet.
Rob Goldstein: We are holding to stick to lifetime, John and I think when it’s all said and done, it will be over 280 at the end of this year and next. It’s going to turnaround as it’s always does. Las Vegas is doing this for long time. At Las Vegas, we’ve been working for 13 years. We hope about 25%, 26% on the high end of that rate. I assume it’s normalizing, will be just fine in Singapore.
Sheldon Adelson: It is the most profitable building in the history of buildings. Not even the pyramids or any monumental but…
Rob Goldstein: In a rolling program?
Daniel Briggs: Anything else, John?
Jon Oh - CLSA: All right. That’s great. Congratulations. Thank you.
Sheldon Adelson: Thanks John.
Operator: The next question will come from Felicia Hendrix with Barclays.
Felicia Hendrix - Barclays Capital: Just seeing on Singapore for a moment, on the VIP side, is there any way to tell what percentage of strong growth was generated by newly acquired players and also just wondering where they are from, are they still mainly Chinese?
Rob Goldstein: Majority of business comes out of Singaporean, Chinese or mainland Chinese, yes, majority, over probably 70% is mainland or Chinese people who bought a second home or POS in Singapore. However we get a lot of players of Indonesia, some very strong business out of Indonesia and some great business out of Malaysia as well. So it’s still predominantly mainland coupled with the POS.
Felicia Hendrix - Barclays Capital: No, I recognize that -- I know that you have been on a program to obviously grow that base of players, so just wondering if you are seeing some more diversification.
Rob Goldstein: We are seeing diversification primarily in the non-rolling segment, biggest growth of new customers have been in non-rolling segment. We have seen new business out of Indonesia, mainland for sure. But again I caution is that it’s still a very concentrated market for rolling segment. The diversification and growth under the new customers is primarily resides in the non-rolling segment.
Felicia Hendrix - Barclays Capital: And so I guess to the predictability question that’s just going forward in terms of -- main concentrated number on the VIP, correct?
Rob Goldstein: Yes, the main concentrated and again I would caution you that 18 next quarter, I mean 22 and we did that a couple of years ago, because it’s not an easy predictor. We could see us $19 million, would also be $13 million. Citing the figures first quarter always is pretty strong. I think that’s as much as we said upfront.
Felicia Hendrix - Barclays Capital: And then switching gears quickly to Macao, your growth in the mass table win was impressive, I am sure we are going to see that continue to grow, you’ve configured of course, given that base per se, just wondering how competitive is the market right now in the mass table side, are you seeing any of your competitors getting more aggressive?
Rob Goldstein: I think it’s competitive, obviously it’s three segments there. Our strength is on pure mass which is -- we have because of our table size and capacity I think we dominate that segment. Pre-mass and super pre-mass are obviously very competitive. I don’t think it’s become unreasonable or overly incentive, we find it, still a very high margin 38, 39% margin business for us. So I don’t think it’s unreasonable. Any time you see a business growing adapted strongly with those ridiculous year on year comparisons, you are going to see competitive, very smart people, and Macao worked very hard, I think the (inaudible) people especially in Galaxy, MGN, all compete with that segment. However we have not seen unreasonable incenting and have not seen a -- we still -- I haven’t spent a lot of money in that segment and let’s be clear it is a growth engine in Macao because it makes you large EBITDA. So our goal is to re-segment the Four Seasons gain more, with 14,002 for people in the Four Seasons. We want to re-segment that, be lot more aggressive in that mass table market and I see pretty mass table market. We want to grow our business especially the SCC, with real estate business out of Venetian, the number of tables, I mean we could see -- we could win $1 billion in the future out of the mass tables alone with the Venetian is extraordinary. I am also pleased downturn, the fancy, take a new approach downtown and I think to make $100 million a place to approach its 10th anniversary is pretty extraordinary too. But there is work ahead of us. We are not -- it’s happening 10,200, for table appears that I believe there is material upside this company and years ahead Macao in the mass table segment.
Operator: The next question will come from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank: Sheldon, obviously you outlined a couple strategies for capital deployments in your remarks earlier. But the one thing that you didn’t mention and as I looked through your release for a couple of quarters in a row, now you guys have just done a nice job breaking out the details of some of your Macao obviously be retail opportunities etc. Has there been a lot of thoughts, within maybe some strategic decision making around them as a source of capital?
Sheldon Adelson: Yes, there has been. We don’t say to look at opportunities. The problem with that is we keep growing more than what we expect. We really haven’t stabilized because we continue to enjoy robust growth. And we certainly don’t want to sell it if we could get through 30, 35% growth potential of what we expect to the final year, it’s just doing very well and I am not sure that we could ever stabilize and slowdown the growth to the point where it stabilize until we open all the retails, so we have the Parisian retail, we have the Tropical Garden retail, that standalone mall which is the government is very excited about because they want our gaming development. It’s almost three times the size of the Parisian mall. So we’ll have quite a bit of retail connected without leaving an air-condition space. We just opened up I don’t know either it’s 16 mall retail shops of multiple levels in Sands Cotai Central, it’s still there, we can convert that almost any day that we want but there is no reason to sell it, one if we don’t need the money, and two it continues to grow at a much greater rate than what we can expect in a short-term after ramp (inaudible) and reinvesting the money. So we -- I think this I haven’t added up lately but there was $8 billion to $10 billion of profits coming out of the sale of the malls that is a very, very strong collaboration of the original business model that jumped up a long time ago. The problem with some of our competitors is somebody at Mandalay bay tried to copy our business model and convention-based market but they never got to retail of that. The retail and the partners, the retail itself because really pay the cost of our core assets of the hotel casino and luxury suites and entertainment. So (inaudible) where we continue to grow more than what we can reinvest the money too.
Carlo Santarelli - Deutsche Bank: That’s very helpful. Thank you.
Sheldon Adelson: Welcome.
Operator: The next question will come from Steve Kent with Goldman Sachs.
Steve Kent - Goldman Sachs: Hi. Good afternoon. I am just looking at your slide on 18 of 41 where it says our focus on Singapore: increasing visitation to Singapore, which will drive growth at MBS and then identifying high value customers throughout the region and bringing them to MBS. I just want to be clear on the first point, increasing visitation to Singapore, is that just a broad tourism initiative that you are going to embrace and especially on the mass side where you’re seeing those customers coming from and are you putting your sales force into some of the East Asian countries to get that traction? But I just try to understand sort of what those that focus on Singapore and what you are really trying to do, is it mass, is it abroad, tourism push, is it sending your own people out into some of the Southeast Asian countries to get people into your casinos?
Rob Goldstein: Well, Steve from the gaming side it’s clearly a very clear focus on the premium mass gaming customers and the goal here from our respective is to build team and we’ll go with that team everyday of people that went to JP, Malaysia, Indonesia, Jakarta, Tokyo, Thailand and Vietnam, and find better premium customers and bring them to MBS to gamble it’s pretty black and white. The same way that. We saw that business grow terrifically from the opening in Singapore and then it fell off as the -- as was illustrated by the government. So our goal is to build that business back up and that’s why we’ve $4.6 million and then our goal is get back to even higher run rate. So clearly we want to go to the tourist side as opposed to Singaporean gambling and I think its payoff and we have descent number from the quarter, we have growth opportunity, our goal is to build a big sales team which does not focus only going directly rather premium customers. So that’s definitely direction. Okay. On the call.
Sheldon Adelson: Thank you, Steve.
Operator: The next question will come from Robin Farley with UBS.
Robin Farley - UBS: Thanks, yeah. Can you quantify definition that with Paiza renovation kind of what percentage of your VIP tables were kind of out of service in Q1 and maybe also in Q2 just to get a sense of that and is that what attributes I guess small decline in Venetian while this was tied into the Paiza renovations.
Rob Goldstein: Okay. The last second part we lost, second part of that question.
Robin Farley - UBS: Sorry. Did you, I think, the disruption from the Paiza renovation that also impacted things on the slot side at Venetian as well the declines there?
Mike Leven: Obviously, any time you have renovations, it doesn't help. But I still think on the Venetian -- Venetian and Macao, for the quarter we still did 320 wins per unit per day which I think is acceptable from our perspective. It’s not -- we were 357 in the previous quarter but that we held a bit later. So we’re pleased that wherever slots are at and ETGs. And our entire mass and table mix as well. So we’re happy with that. As far as VIP table, obviously we traded down a bit there in the volume. Disruption in terms of the renovation, it's to some extent, yeah but still 30,000 wins per deal per day, we’re happy with that, very happy with our normalized profit which was very, very strong. And again, overall take on the Venetian is any time you have renovation, there's some disruption in visitation. But overall, we just think Venetian. Again VIP tables, rolling volume was excellent, 30,000 win per day. Our mass table is incredibly strong with a lot of tables on the floor. The land is very good. I think we’re very pleased with decent settings. I think Venetian are brilliant (inaudible). So, yes some disruption but overall not material.
Robin Farley - UBS: Okay. Great. And I don’t think you guys have commented about the order routines that was announced. And I wonder, if you could just, sort of, given a color on how quickly you think you have onboard as a new auditor?
Ken Kay: Yeah. It’s Kenneth. There’s really not much to talk about there. It’s pretty straightforward. As I talked about before, no disagreements, no reportable events behind us and we’re very engaged in the process of selecting a new firm. And I would think within the next 30 days or so, we should be able to announce new firm.
Robin Farley - UBS: And did you say in the next 30 days?
Ken Kay: Approximately.
Robin Farley - UBS: Okay. Great. And then just last only, is this the first write-off had in Singapore. I just --I don’t recall, previous one when I just -- a little color on that.
Ken Kay: Yeah.
Robin Farley - UBS: Okay. Any color around that or..?
Rob Goldstein: No. I think as we go through the kind of typical ageing in the collection process, we get to the point where some of them are uncollectible either as the bankruptcy situations are, players being deceased and such and so when we get to the end of the road, there is actually no possibility of our pursuit of collection for those reasons, we end up just writing off the balance.
Robin Farley - UBS: Would this serve a cumulative with them or was it primarily just driven by one write-off?
Rob Goldstein: No, we feel we got through it, all of the accounts and so. It wouldn’t have been one that would have just been those that had got to the point where we saw that there was actually no possibility that we can just charge that amount against the reserve.
Ken Kay: It’s pretty typical in any market say in Las Vegas, say in Macau. At some point, people pass away or are bankrupt and they are not going to pay you quite. We write that off. I don’t think it’s And all this are typical. As Singapore matures, you have more of this.
Rob Goldstein: And those are direct filing the long. This is on page 28 of the debt. It’s on our website and the number is $11 million that was written off.
Robin Farley - UBS: $11 million, I was asking. Okay. Thank you.
Operator: Ladies and gentlemen, we’ve reached the end of allotted time for the Q&A portion of today’s call. Thank you for your participation. You may now disconnect.